Operator: Hello. And welcome to the Appian Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. It is now my pleasure to introduce Vice President of Investor Relations, Jack Andrews.
Jack Andrews: Good morning and thank you for joining us. Today we will review Appian’s third quarter 2024 financial results. With me are Matt Calkins, Chairman and Chief Executive Officer; and Mark Matheos, Chief Financial Officer. After prepared remarks, we will open the call for questions. During this call, we may make statements related to our business that are considered forward-looking. These include comments related to our financial results, trends and guidance for the third quarter and full year 2024, the benefits of our platform, industry and market trends, our go-to-market and growth strategy, our market opportunity and ability to expand our leadership position, our ability to maintain and upsell existing customers, and our ability to acquire new customers. These statements reflect our views only as of today and don’t represent our views as of any subsequent date. We won’t update these statements as a result of new information unless required by law. Actual results may differ materially from expectations due to the risks and uncertainties described in our SEC filings. Additionally, non-GAAP financial measures will be discussed on this conference call. Reconciliation of GAAP to non-GAAP measures are provided in our earnings release. With that, I’d like to turn the call over to our CEO, Matt Calkins. Matt?
Matt Calkins: Thanks, Jack. In the third quarter of 2024, Appian's cloud subscription revenue grew 22% year-over-year to $94.1 million. Subscriptions revenue grew 19% to $123.1 million. Total revenue grew 12% to $154.1 million. Our cloud subscriptions revenue retention rate was 117% as of September 30th. Adjusted EBITDA was positive $10.8 million. Appian continues to grow even as we become more efficient. Growth remains our top priority. We now project positive adjusted EBITDA for the full current year 2024, and improvement from our break-even forecast last quarter. Mark will provide more details. Appian has pivoted to a more efficient cost structure. We did that with minimal short-term impact and without losing any long-term growth potential. We've streamlined our priorities, focusing on high-value implementations in core verticals and use cases. We've become more closely engaged with our very happy customer base. We've reorganized some departments to become leaner and more effective, and we're seeing the first results. For example, our advisory service attachment rates are rising. Our existing customer renewal uplifts are also up. Under our new system, we're realizing higher pricing. Our pipeline shows a larger median deal size. These are the first fruits of our efforts, the first indications that our strategy can work. We're early in this process and there's a lot more we can achieve in this direction. We're in the amusing position of being an analyst designated leader in many markets, though we offer only one product. Depending on whether you consult Gartner, Forrester, Everest, or somebody else, Appian leads in process automation, or orchestration, or mining, or low code, et cetera. This linguistic confusion has been a weight on our market, which wants clarity. I'll try to offer some here. Appian is a process company. Sometimes we call ourselves the process company, but anyway we've been focused on processes for a long time. A process is anything an organization does thousands of times. It typically involves multiple steps, multiple participants, organization specific customization, and evolution over time. Every organization is full of processes. Many of them are unique and require customization. Those processes do some of the most important things like spending money, handling customers, and creating products or services. These behaviors are the signature of their firms. They're outward and inward expressions, shaping reputation and identity. When we say we're the process company, we mean that we sell a software platform for processes but also that we have the expertise, solutions, executive partnership, and organizational commitment to provide great process outcomes. As I like to say, Appian isn't a product, it's an experience. We're very proud of our 99% gross renewal rate. Here's where I'm going with this. Commentators today with all their various names for the same thing and trend chasing are underestimating the value of process. My example is the recent trend around Agentic AI. Agentic AI means using AI to respond to stimuli and take actions autonomously. For a complex action, that means AI must inform itself, collaborate with other actors, and take in actions independently. Process is a better way to do all three of those things. AI is more effective working within the structure of a process where data fabric provides enterprise-wide data access, where human and digital collaborators are available, and where powerful actions are predefined and launchable. This is especially true when the job is complex and the tolerance for error is low. It's also true if you need to audit AI's actions and tune them for future accuracy or efficiency. You could think of process as a frame for AI. Process gives it the support and structure AI needs to be effective. Appian uses AI in a process to create a superior version of Agentic AI. Say all this to rebut the theory that AI will obsolete process because AI can do everything by itself. you've heard this one, AI can write the code, AI can take the actions, et cetera. As I hope I've explained, the opposite is true, at least at our high end of this market. Process is the perfect home for AI, and the two are highly complementary. I'll return to this theme in future earnings calls. This quarter, Appian saw the highest yet quarter-on-quarter increase in AI usage. For example, a top Latin American bank is modernizing its enterprise to increase operational agility and optimize margins. It named Appian its platform standard earlier this year after we embedded AI into its processes within just a few weeks. The bank can initiate and complete various consumer-related actions on Appian based on the insights our AI provides. Now, the bank intends to replace an incumbent in flexible system with Appian and improve operational efficiency by 40%. Q3 is big in the public sector, a very important sector for Appian, where we continue to expand. We signed a contract with a federal cabinet-level agency that manages US national parks and resources. It purchased several of our government acquisition management solutions from the GAMS suite last quarter and became a new Appian customer. The group chose Appian because we've successfully digitized procurement operations at several peer organizations. In fact, with this new win, we're proud of this one, all 15 US cabinet-level agencies are now Appian customers. Another federal agency uses sophisticated technological systems to support national security and defense. It became a new Appian customer earlier this year when it purchased a few of our government acquisition management solutions, again, the GAM suite. It purchased a seven-figure software deal this quarter to replace a few of our competitors' systems with Appian. Now, the organization will run HR management and annual planning processes on Appian. Next, an update from another of our primary verticals, financial services. We did a deal with a global financial services provider that oversees quadrillions of dollars in annual transactions. It decided to modernize its client lifecycle management processes using Appian and became a new customer this quarter. Our platform will consolidate several systems into a single application to manage processes like pre-qualifying applicants, onboarding new clients, and managing lifecycle events. My second financial services story is about a top global bank. This firm runs internal audit and call center operations on our platform. This quarter, it purchased 1,500 additional user licenses for a payment exceptions application. Appian will manage the process for approving an organization's transaction request when it doesn't have enough cash on hand to make the payment. This heavily regulated process can result in major fines if a bank falls out of compliance. Appian won this deal because we have a strong track record of managing similar high-risk processes across other major banks. I'll close my remarks with a few personnel updates. First, we welcomed Mark Dorsey as our new Chief Revenue Officer. Mark has 25 years of experience leading sales teams at Cloud and SaaS companies including Oracle, IBM, and most recently, Alteryx. Next, Appian elected Boe Hartman and Michael Beckley to our Board of Directors. Boe is the first member of the board to understand Appian from the client's perspective. He successfully ran a multi-million dollar Appian deployment for one of the world's premier banks. He's an expert at turning functionality into value who will help us define our solutions. Michael Beckley is one of our founders and currently our CTO and is returning to the board after an absence of several years. Finally, our CFO Mark Matheos is leaving Appian. We appreciate his eight years of good work and we wish him well. Our former CFO and current board member, Mark Lynch, will return as Interim CFO while we search for a full-time replacement. With that, I'll hand the call over to Mr. Matheus for the last time for a deeper discussion of our financials.
Mark Matheos : Thanks, Matt, and thank you to everyone joining us today. I'll review the financial highlights for the quarter and then we'll provide guidance for the fourth quarter and full year 2024. Our key metrics of cloud revenue, total revenue, and adjusted EBITDA all came in above the high end of our guidance ranges. Cloud subscription revenue was $94.1 million, an increase of 22% year-over-year. Our cloud subscription gross renewal rate remained stable at 99%, up from 97% a year ago, and consistent with the prior quarter. Our cloud subscription revenue retention rate was 117% as of September 30, 2024, compared to 117% a year ago and 118% in the prior quarter. We continue to target a cloud subscription revenue retention rate between 110% and 120% on a quarterly basis. Approximately 88% of our total net new software bookings this quarter was for the cloud, compared to 71% in the prior year's third quarter. Total subscriptions revenue was $123.1 million, an increase of 19% year-over-year. Professional services revenue was $30.9 million, down 7% year-over-year. As we've previously stated, professional services revenue can fluctuate quarter to quarter due to the timing of large projects. We continue to leverage our professional services to enable partners and drive customer success. Over the long term, we expect professional services revenue to continue to decline as a percentage of total revenue. Total revenue was $154.1 million, an increase of 12% year-over-year. Subscription revenue represented 80% of total revenue, compared to 76% in the year ago period, and 77% in the prior quarter. We continue to see global demand for our platform, with our international operations contributing 36% of total revenue, compared with 35% in the year ago period. Foreign exchange movements provided a small revenue tailwind of slightly less than 1% this quarter. Turning to profitability metrics, non-GAAP gross margin was 77%, compared to 75% in both the year ago period and prior quarter. Subscriptions non-GAAP gross profit margin was 89%, consistent with both the year ago period and prior quarter. Professional services non-GAAP gross margin was 30%, also consistent with both the year ago period and prior quarter. Our goal is to enable customers and help them achieve strong outcomes. We continue to invest in non-billable areas of our services organization to ensure customer success and drive adoption of our platform. Total non-GAAP expenses were $110.2 million, a slight decline from $110.5 million in the year of our period. Adjusted EBITDA was positive $10.8 million for the quarter, which is well ahead of our third-quarter guidance of between breakeven and positive $3 million, and significantly improved from an adjusted EBITDA loss of $5.3 million in the year of our period. Non-GAAP net income was $11.4 million, or $0.15 per diluted share, compared to a non-GAAP net loss of $14.6 million, or $0.20 per diluted share for the third quarter of 2023. In the third quarter, we had approximately $9.2 million of foreign exchange gains, compared to $4.3 million in foreign exchange losses in the same period a year ago. As a reminder, we do not forecast movements in FX rates. Therefore, FX movements are not considered in our guidance. Turning to our balance sheet, as of September 30, 2024, cash, cash equivalents and investments were $140 million. This provides us with sufficient liquidity to operate and invest in our business. For the third quarter, cash used by operating activities was $8.2 million, a significant improvement compared to the use of $65 million in the same period last year. As a reminder, last year's figure included a one-time payment of $57.3 million for our judgement preservation insurance policy. Finally, total deferred revenue was $227.6 million, as of the third quarter of 2024, an increase of 15% from the year ago period. As a reminder, while the majority of our customers are invoiced on an annual upfront basis, we also have some large customers that are billed quarterly or monthly. Consequently, we continue to believe cloud subscription revenue is a better indicator of our business momentum than deferred revenue, billing, or remaining performance obligations. These latter metrics can fluctuate based on the timing of invoicing, the seasonality of on-prem license revenue, and the duration of customer contracts. The true scale of Appian's business is represented by subscriptions revenue, which includes support and all software subscription revenue, regardless of whether the customer deploys to the Appian cloud, a private cloud, or on-prem. We previously forecasted adjusted EBITDA break-even in 2024. Now, we're pleased to share that we expect positive adjusted EBITDA for the full year of 2024. Let's turn to the specifics of our guidance. For the fourth quarter of 2024, cloud subscription revenue is expected to be between $95 million and $97 million, representing year-over-year growth between 14% and 17%. Total revenue is expected to be between $163.5 million and $165.5 million, representing year-over-year growth between 13% and 14%. Adjusted EBITDA for the fourth quarter of 2024 is expected to range between positive $6 million and positive $8 million. Non-GAAP net loss per share is expected to range between $0.03 and break-even. This assumes $0.74 million diluted weighted average common shares outstanding. There are three reasons why we anticipate our adjusted EBITDA declines sequentially from Q3. First, we expect Q4 sales commissions to increase, reflecting a seasonally stronger quarter for bookings. Second, we are hosting a number of marketing events during Q4. These include Appian Government and Appian Europe. Third, we are making incremental investments in Appian's cloud capabilities to better serve the public sector. For the full year 2024, we are raising our cloud revenue and total revenue guidance. We are also raising our full year adjusted EBITDA guidance. Cloud subscription revenue is now expected to be between $364 million and $366 million, representing year-over-year growth of 20%. Total revenue is now expected to be between $613 million and $615 million, representing year-over-year growth between 12% and 13%. We now expect adjusted EBITDA to range from positive $5 million to positive $7 million. This is an improvement of $28.5 million from the midpoint of our guidance range at the beginning of the year. We are also updating our expected full year 2024 non-GAAP net loss per share to a range between $0.38 and $0.35. This assumes $73 million diluted weighted average common shares outstanding. Our guidance assumes the following. First, as previously disclosed, the variability in our services revenue can be impacted by a few large transactions. We expect professional services revenue to be flat to down sequentially in Q4. Second, we expect on-prem license revenue in Q4 will increase sequentially and track to seasonality that is consistent with prior periods. Third, total other income and interest expenses are expected to be between $4 million and $5 million in Q4 and between $20 million and $21 million for the full year 2024. Fourth, capital expenditures are expected to be between $1 million in Q4 and between $4 million and $5 million for the full year of 2024. And fifth, our guidance assumes FX rates as of November 4, 2024. In closing, we expect to continue driving more efficient growth in the business. We're pleased about our ability to guide for positive adjusted EBITDA in 2024. I'd like to express my appreciation for my time at Appian and will cheer for the company from the sidelines. And with that, we'll open up the line for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Sanjit Singh with Morgan Stanley.
Keith Weiss: Hey, this is Keith Weiss actually filling in for Sanjit Singh this morning. Very nice quarter. Thank you for taking the question. A couple questions for you guys, if you will. One for Matt just in terms of the discussion of like process versus agents. Is it really process versus agents or is agents sort of like a user interface and execution layer on top of process? So are you talking to us about an ability to create better agents or are you saying that just utilizing process kit? Basically obviate the need to use agents, if you will.
Matt Calkins: Okay, I see agents not just as a means to an end but more importantly as an end. The most important thing about the Agentic AI movement in my opinion is the interest in having AI that takes actions and how you get there is up for debate. And I'm proposing that there be a different a better way to get there to get toward action taking agents. If you empower those agents with information from a data fabric, structured, collaborators with whom to work and a set of pre-coded output levers that it can pull and utilize. We've just made our agents bionic is basically what I'm saying. I think process empowers and agents to be stronger. So I'm proposing process as a better way to achieve a superior version of the same intent.
Keith Weiss: Got it, that’s super clear. A couple of nice wins in federal. If we take it -- if we extract that up a little bit and was federal overall, it was a good federal quarter for you guys compared to prior year compared to kind of your expectations or was it just a couple of good wins in the quarter?
Matt Calkins: Yes, let me speak to federal. This has been a good year for federal overall. I think it has been our best performing theater in the world this year and that's due to the success of our GAM suite. It's due to our momentum. As I say, we're in all 15 cabinet-level agencies. We have a strong reputation, and we're seeing a lot of growth. We just came off our government annual event last week, and the vibe, so to speak, was very strong. Government is one of the cylinders that's really hitting for Appian right now.
Keith Weiss: Got it. And then just maybe one on the margin side of the equation. Really impressive results in EBITDA this quarter. Maybe you could talk a little bit to kind of what enabled that upside in the quarter, what went much better than expected to enable EBITDA to drop down, and perhaps dig in a little bit on where some of these efficiency savings are coming from. Investors could be, and analysts could be a little bit skeptical about lowering costs without any trade-offs, if you will, not having to pay for sort of lower overall investment.
Matt Calkins: Sure, yes. I mean, look, this has been an ongoing effort to look at the company and the organization as a whole from an efficiency standpoint. And the definition of efficiency is when people are working on things that aren't adding value, right, or when we're investing in activities that were perhaps not getting that higher level of return that we wanted. And so I think we've done an ongoing scrub. I think this is not a one and done sort of situation. This is a posture of efficient growth that the company's in. In Q3, certainly we had help from a revenue beat. That's helped our adjusted EBITDA as well. But we've seen a lot of dividends paying off from our overall efficiency posture that the company's kind of gone through over the past 18 months or so.
Operator: And our next question comes from the line of Derrick Wood with TD Cowen.
Derrick Wood: Great, thanks. I guess Matt, touching back on Agentic AI, I mean, you and your competitors are rolling out new capabilities. What would you highlight are some of your key differentiators in tackling this market compared to other approaches?
Matt Calkins: Yes, well, first of all, we can source data better because we have access, we can quickly provision information from anywhere in the enterprise using our data fabric, unlike our competitors that have to gather the data into their own proprietary data center before they can properly interact with it. We can read and write from that data fabric, and I want to clarify that that is, our functionality is quite different from what's passing as data fabric in the market today. So that gives us an informidness advantage and then given that we believe that Agentic should happen within the context of a frame of a process, the actions are also far more auditable and specifiable. And in certain industries and for high-level tasks, certain industries like the government, they shy away from improvisatory behaviors and they want to see something they can truly predict, audit, and improve. So this slightly more structured approach to agents is more appealing to our customers.
Derrick Wood: Got it, thanks. And a question on pricing, actually it's kind of a two-parter, I don't know if that mattered for Mark, but you guys raised, first of all, you guys raised pricing on some of your core tiers earlier in the year. How is this going in terms of customer adoption and any meaningful impact to revenue growth at this point? And second part, just pricing around consumption with your AI solutions. Give us an update on what that looks like and how that's being rolled out?
Matt Calkins: Yes, we are pricing by consumption with AI. I don't have much to say about it yet, other than that that's our pricing framework. As for our pricing system that we rolled out this year with our three tiers, really two so far, just know that the top one is being filled out over time with more features, but the advanced tier, we've seen substantial interest in the advanced tier, which is higher priced and higher functionality than the standard tier, which is more on a line with what we offered in our full package in years in the past. The advanced tier has been particularly popular as a start point for new customers who tend to buy into that level almost as a default. We lead with it, we sell advanced first, we focus on the specific features that you get from advanced and of course we tried very hard to make those essential and we find that most of our incoming customers have sprung for it. So we're getting the reaction we wanted and now we're also going back to our existing customer base and proposing upgrades to advanced and we're beginning to get those as well.
Derrick Wood: Got it. And just if I could squeeze one more just on the nice bookings mix from the cloud. Mark, is there anything, any new trend here or should we be expecting this to bounce around a quarter-to-quarter?
Mark Matheos : Yes, I wouldn't read into it too much. We certainly prefer the cloud but that's been the case for years now and we'll see some bouncing around a little bit.
Operator: And our next question comes from the line of Raimo Lenschow with Barclays.
Raimo Lenschow: Thank you. Congrats, that was a great performance this quarter. Matt, can I stay on that pricing? Like if you think about Agentic AI, this consumption but then it's also like a bigger debate about like outcome based pricing, like is that, will that be different for you because you're coming more from the process angle or is that something that we kind of should consider or the industry needs to consider?
Matt Calkins: Okay, first of all, let me say that I love outcome based pricing or usage based pricing provided we have the right context in which to judge it. I wish to move us in that direction but we must know the context. When you sell as a platform you don't know what to price, your usage at and the outcomes becomes a subjective discussion and so I want to start in places where we have a clearly. defined value proposition. I'm talking about solutions, use cases, at very least industries. We're trying to move in that direction, but we have nothing to say about it right now. That's merely an intention. So right now, our price is not usage-based. We're just aspiring towards it.
Raimo Lenschow: Yes, okay, and then just double-clicking again on the strong cloud performance this quarter. Like, obviously you executed really well. Do you sense also like a change in the market in terms of how you're engaging with customers, how they are kind of understanding AI better and now finding the right vendors to engage, et cetera? Like, what are you seeing more from the bigger picture? And you might have addressed it earlier and I might have missed it.
Matt Calkins: Yes, well, I do think customers are getting smarter about AI. And specifically, we're seeing more focus on places where AI can actually make a difference, an impact, which is why we're so much stressing putting AI in the frame of a process. When you give AI a job and you give it connections, levers to pull, information to process, it's exceptionally productive. When you leave it alone in the midst of an undefined job and hope that it fields questions and does things, I find it far less effective. So I believe that AI will really blossom in an enterprise setting first within the benefit of structure around it as to what its role is, what its capabilities are, what its inputs are. And so we're trying to establish value in what I think is the first killer app, which is this sort of structured instantiation of AI. And that's where we're seeing our biggest growth. And it was a big growth, back quarter.
Operator: And our next question comes from the line of Steve Enders with Citi.
Steve Enders: Okay, great, thanks for taking the questions. And Mark, great to have with you all these years. I guess just to start, I want to ask on just kind of what you're seeing out there on the macro landscape. And I think we've heard from others about a prospect of a Q4 budget flush. And this would be great to kind of get your thoughts on what you're seeing out there and the prospect of that.
Matt Calkins: Okay, I don't have any insight into a Q4 budget flush. We're seeing a macro environment where we can succeed. Of course, there's certain tightness and variables we have to deal with, but macro is not a factor in our decision-making right now. It's not a factor in budget setting. It's not a factor in target setting. We believe we can operate in this environment.
Steve Enders: Okay, perfect, that's helpful. And then just on the changes on the sales and go-to-market side, and I guess how are you kind of dealing it about those changes that you were made and with new head of sales coming in, and what's kind of the focus, and what will they be focused on as they hit the ground here?
Matt Calkins: Yes, well, we come in with a couple of key sales priorities with our new leader, Mark. We're going to shift our energy ever more to larger opportunities. We're going to focus more on our existing and very happy customer base and expect to sell more back to them. And we want to bring forward our personalities, the human side, the partnership of Appian to differentiate us from our large bureaucratic competitors. We should be, and we should appear to be, the anti-big tech when customers do business with us. They should feel like they have more of a personal connection, and we're going to put that forward. So those are the main ways that we want to sell or continue to evolve our sales process.
Operator: And our next question comes from the line of Jake Roberge with William Blair.
Jake Roberge: Yes, thanks for taking the questions. Could you just talk a little bit more about kind of what you're seeing on the demand front for data fabric and some of the use cases that customers are pulling you into? And just from a competitive perspective, we've obviously heard a few other vendors launch their own kind of fabric term solutions over the past few months. So can you kind of walk through the differentiation of your product and how you're doing things differently versus some of those other players?
Matt Calkins: Yes, absolutely. Thank you for asking. Our data fabric is a world apart from anybody else's, and it's one of the most important features that we've ever written. It's one of the best adopted features we've ever written. It is broadly used across our whole user base. Our data fabric allows you to treat the whole enterprise worth of data sources as if they were local data sources, addressable in a programmatic way as if they were local. You can read and write, and it's performance tuned. So we create indexes, we tune it so you can get instant response. Our competitors, by and large, are putting the data fabric label on a product that repairs broken integrations between their own products internally to their own siloed ecosystem. As I say, it's a world apart. Data fabric is more important than it's ever been, because AI is effective when and only when you provision it with data. In order to answer a question well, you need to provide AI the context. There's really two ways to do that. One is you preload the AI with all the data it could need and expect it to be ready for any question. That's fine for some. It's expensive. It might be a bad thing for privacy to hand out over your data. You might feel like you're beholden or in a bad negotiating position against your AI provider, but for some, they're willing to just train AI beforehand. We're not. That's not our approach. Our approach is the other way that you can inform AI, and that is to wait until the question arrives and then quickly fetch the data that's pertinent to the question and send the query with the data all at once. That's retrieval augmented generation, or RAG, and it allows you to be far more private in what you share with AI and far less beholden to your AI provider. It's also more auditable. It's more changeable. You can train it. There’re so many advantages to it, but it all depends on one key factor, one non-negotiable technology you simply must have in order to use model number two, and that is you have to be able to fetch pertinent data within a second. From across your enterprise, you have to find the data that makes sense related to the question that was just asked. No matter where it exists across your enterprise, and that requires a data fabric that is both comprehensive and performant. That's the data fabric we have, and you see it's actually the key to the best model of AI. The best approach to private AI actually depends upon the kind of data fabric that we provide and others don't. That's why I'm so dialed into this, why I think it's such an important thing, because it's actually the foundation to our approach to AI.
Jake Roberge: Okay, that's really helpful. Then just on the monetization front, I think you've talked about monetization for fabric coming when customers start to connect you to multiple different data sources. I guess the question is, what are you seeing from some of the early data fabric customers and users and just their propensity to connect you to more and more data sources within their organization? Like, are you seeing that unlocked start to happen?
Matt Calkins: Yes, we are. Yes, and you're right. If you want to use data fabric on multiple data sources, you must upgrade to the advanced tier. And as I mentioned, we've got a broad participation from most new clients. They're deciding that advanced is the right tier to buy, and we've got migration from existing customers starting to upgrade to advanced. So yes, it is happening, and data fabric is one of the most compelling reasons to do it.
Operator: Thank you. And thank you for participating. This concludes today's program. You may now disconnect.